Santiago Seage: Thank you very much. Good morning, and thank you for joining for our First Quarter 2023 Conference Call. I will start with a couple of messages before Francisco takes us through our results. In the first quarter, revenue and adjusted EBITDA increased by 1.5% and 4%, respectively, on a comparable basis, while cash available for distribution increased by 4.6% year-over-year on a comparable basis.
Francisco Martinez-Davis: Okay. Thank you, Santiago. Please turn to Slide number 4, and good morning to everyone. In Slide number 4, I will present our key financials for the first quarter of 2023. Revenue reached $242.5 million, which represents a 1.5% growth on a comparable basis, excluding the effect of foreign exchange. Adjusted EBITDA amounted to $172.2 million, representing an increase of 4% on a comparable basis. Regarding cash available for distribution, we generated $61 million in the first quarter of 2023, an increase of 12.1% year-over-year. This includes $4.1 million from the sale of part of our equity interest in our development company in Colombia to a partner. Without this impact, CAFD would have increased by 4.6% year-over-year. On the following slide, number 5, you can see our performance by geography and business sector. In North America, revenue decreased by 2% to $72.8 million in the first quarter of 2023 compared to the same period of last year. The decrease was mainly due to lower solar resource in Arizona and in California in the quarter. In South America, revenue increased by 14% compared to the first 3 months of 2022, up to $43.7 million, and EBITDA increased 16% to $33.8 million. This increase was mainly due to newly consolidated assets, assets which we've recently entered operation and inflation indexation mechanisms in our contracts. On a constant currency basis, adjusted EBITDA in the EMEA region increased by 10% to $88 million compared to the first quarter of 2022. This was mostly due to higher production and inflation indexation at Kaxu and also lower operating expenses in our solar assets in Spain. Looking below at the results by business sector, we can see similar effects. Let's now please turn to Slide number 6, where we will review our operational performance. Electricity produced by our renewable assets reached 1.2 gigawatt hours in the first 3 months of 2023, an increase of 9% versus the same period of 2022, mainly due to the increase in production in our solar assets in Spain, where solar radiation was very good in the period and to the contribution from the recently consolidated assets and those that have entered in operation recently. Looking at our availability-based contracts, in our efficient natural gas and heat segment availability decreased mainly due to a scheduled major overhaul which did not impact revenue. And our water assets and transmission lines continue to achieve very high availability levels in the first quarter of 2023. On the next slide, number 7, we would like to review our net debt position. Net debt as of March 31, 2023, was $4.1 billion, a slight increase versus March 31, 2022. In addition, we closed the quarter with net corporate debt of $968 million. With this, our net corporate debt to CAFD pre-corporate debt service ratio stood at 3.3 times. With this, I conclude today's presentation. Thank you for joining us. We are now open - we will now open the line for questions. Operator, we are ready for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Angie Storozynski from Seaport. Please go ahead. Your line is now open.
Angie Storozynski: Thank you. Good morning. So maybe first, if we could start with your strategic review, your majority shareholder has a bit more of flexibility on their balance sheet. So I just wonder now that they didn't acquire Kentucky Power. So I'm wondering if that is impacting your strategic review? And also given the - some expansion in credit spreads, how do you even think about what the goal of the review is?
Santiago Seage: Good morning, Angie. So regarding your question, obviously, I cannot comment on one of our shareholders. The only thing I can say there, I can make reference to the announcement we made about the strategic [ph] review, which is ongoing and to the fact that Algonquin expressively supported or supports that process. And I cannot speculate much more than that, Angie, as you understand.
Angie Storozynski: Understood. So now - so under the current - the status quo, basically, so you're basically still trying to acquire third-party assets. I mean, is there - has there been any change in the competitive landscape, given the higher cost of financing? Are you seeing more openness from sellers to adjust their expectations for the valuations of their assets given the higher cost of capital?
Santiago Seage: So as you know, our growth strategy has two components. One is development and construction, where we continue executing on our plan and executing on the pipeline that we shared with you in our 2022 results presentation. The second part of our growth strategy is about acquisitions, as you mentioned. And there, what we see is a very active market. It is true, a market where sellers and buyers expectations given the changes, the macro changes that have been happening in the last few quarters and not always meet. Nevertheless, in global energy, we see a very active market with lots of owners willing to be selling assets. It's a question of time that sellers and buyers in that meeting, there have been some transactions closing. There have been others that have been delayed, but we continue believing that there will be opportunities. And actually, the macro environment might help in that regard.
Angie Storozynski: Okay. And lastly, the financing of such acquisitions. Just talk about if you would have to issue either equity or bonds to finance any such acquisitions, I guess, it depends on the size. But any flexibility you have with additions of project-level debt, any sort of refinancing of existing debt in order to help yourself from a CAFD perspective, again, just looking for some signs of financing flexibility in this environment?
Francisco Martinez-Davis: Angie, it's Francisco. Thank you for your question. As you saw in the presentation, our leverage ratio went down in the first quarter. We continue to have ample room to finance acquisitions. And as I said, we will have to see at that particular time was the best option that we have to financing. But as I said, we have room on the leverage. So that said, we just need to see what the best financing strategy is.
Angie Storozynski: Okay. Thank you.
Operator: Thank you. The next question today comes from the line of Julien Dumoulin-Smith from Bank of America. Please go ahead. Your line is now open.
Julien Dumoulin-Smith: Hey. Good morning, team. Thank you very much. Just to follow up on the last question a little bit more directly. Would you expect to pursue acquisitions here during the pendency [ph] of the strategic review? And if so, to what extent would you think about achieving kind of a mid versus low single-digit dividend growth here? I'm just curious on activity, user independency of the - first half?
Santiago Seage: Good morning, Julien. Going to your question, at this point in time, our strategy again is about investing in development. It is also about acquisitions whenever we find the right opportunities. When we announced the strategic review, we said explicitly that we would continue developing our growth strategy. So our growth strategy is not influenced by the review in any way. And depending, obviously, on which investments we close and we don't close, we might end up in, let's say, in a higher part of the range or a lower part of the range, still at the end of Q1, it's a bit too soon to be able to be very restrict – if this regarding that. At this point in time, we think that we are delivering and working well on both sides of the growth strategy development and acquisition opportunities.
Julien Dumoulin-Smith: Got it. And the strategic review here. Are you looking at the kinds of assets that you're investing in or geography at all as part of that? Or is this is just a question about selling assets or not?
Santiago Seage: So again, I wouldn't like to speculate regarding the review. This is something that we are conducting and I want to be respectful of a process that we...
Julien Dumoulin-Smith: I was wondering if it would impact the kind of acquisitions we did. With that said, if I can pivot back to Europe, I mean - and obviously, I'd love to hear if you have any repowering thoughts in the U.S. at this point. But as you look at the European backdrop and potential for continued data points through the mid part of this year on various country actions in response to coordinate the EU subsidy effort. Is there anything new across your portfolio that you might want to highlight as an opportunity on that front as you think about...
Santiago Seage: Yes, I think that in general, we are facing an environment from a market point of view that has never been so attractive, I would say. In the U.S. I'm not going to elaborate about IRA. In our case, we do have some repowering opportunities in the short and the midterm. And clearly, regulation for that at this point in time is much clearer than a year ago. In the case of Europe, we continue to see opportunities. We do think that the European Union is coming up with programs that should help in that regard, probably programs that are lower than what we saw in the U.S. But eventually, we believe that we are going to be able to capture opportunities. Last quarter we talked briefly about hydrogen, a small hydrogen project that is being supported by a European program. And going forward, there should be more, and we are working on a number of those opportunities. And whenever they become realities, we will be talking about them.
Julien Dumoulin-Smith: Got it. All right. Fair enough. Sounds like it's still working its way through. Thank you, guys.
Operator: Thank you. The next question today comes from the line of Eli Rodney from National Bank of Canada. Please go ahead. Your line is now open.
Eli Rodney: Good morning, everyone. Just filling in for Rupert here. First, if I could just touch on Spain, specifically Spanish power prices and how they've evolved throughout the year so far. Could you touch on how that's sort of evolved versus your expectations? And where do you see the market heading for the rest of the year versus expectations?
Santiago Seage: So specifically in Spain, power prices are a bit softer than what the market expected and what futures were saying at the end of last year and what the regulator expected. In our case, as you know, our assets in Spain are regulated. And therefore, the value or the IRR of the assets are not affected by or should not be affected by price fluctuations in a certain year. Obviously, there can be a short-term impact, so your cash revenues can be a bit better or a bit worse in the short term, but the regulation takes out into account. So it's not something we are, let's say, overly worried about. At this point in time, our expectation, if you look at the futures and the market is that prices should be stronger in the second half. But again, as we are regulated, the impact in the case is limited.
Eli Rodney: Okay. Great. And just a quick one on Chile. In light of the recent news of you reaching financial close on 80 megawatts of solar there. It looks like it's in a pretty good location pricing-wise. Just wanted to see if there's any incremental color you can give on pricing expectations, return expectations, et cetera?
Santiago Seage: So in the case of Chile, these are 80 megawatts that we talked publicly about last quarter, if I recall properly, that are currently under construction, they will be subject to a certain regulation in Chile. So these assets will be regulated through something that is locally called BMGD. And therefore, we don't need to worry as much about market prices. We do think that the return will be reasonable locally. And again, the good thing is that even this regulation, which is basically taking into account market prices, but giving visibility over the midterm, we know what as a return we are going to be making in the short and the midterm with reasonably good returns.
Eli Rodney: Okay. Great. So in line with comparable projects. Thanks. That's it from me.
Santiago Seage: Thank you.
Operator: Thank you. The next question today comes from the line of Mark Jarvi from CIBC. Please go ahead. Your line is now open.
Mark Jarvi: Good morning. I'm just wondering, Santiago, if you can comment on time lines for strategic review just in terms of how it's evolved since you initiated and when you might have some updates for the market.?
Santiago Seage: I cannot comment much, putting a timing on these processes is very difficult, whatever I say might be totally off. So we are working on that. That's as much as I can probably say.
Mark Jarvi: Fair enough. And then kind of if I understood your comments, you're open to acquisitions alongside greenfield development. What about on select dispositions as a source of funding? Would you be open to selling some select assets or parts of the portfolio while you're still going through a static review?
Santiago Seage: Yes. As we said in the announcement of [ph] review, let's say, life continues and our strategy is the same while we do that. So on top of our investments and our growth, we always consider, and we continue considering opportunities if we believe that they create value and that they can be accretive on a - from a cash generation point of view, obviously.
Mark Jarvi: Okay. Thank you.
Operator: Thank you. [Operator Instructions] There are no additional questions waiting at this time. So I'd like to pass the conference back over to the management team for any closing remarks.
Santiago Seage: Thank you very much. Thanks, everybody, for joining today. Thank you.